Operator: Good day, and thank you for standing by, and welcome to the WideOpenWest’s First Quarter 2021 Earnings Call. [Operator Instructions] I would now like to hand the conference over to your speaker today, and that is going to be Andrew Posen, Vice President, Head of Investor Relations. Please go ahead.
Andrew Posen: Good morning, everyone, and thank you for joining WideOpenWest's first quarter 2021 earnings call. With me today is Teresa Elder, WOW!'s Chief Executive Officer; and John Rego, WOW!'s Chief Financial Officer. Before we get started, I would like to remind everyone that during our call, we will make some forward-looking statements about our expected operating results, our business strategy and other matters relating to our business. These forward-looking statements are made in reliance on the safe harbor provisions of the federal securities laws and are subject to known and unknown risks, uncertainties and other factors that may cause our actual operating results, financial position or performance to be materially different from those expressed or implied in our forward-looking statements. You are cautioned not to place undue reliance on such forward-looking statements. We disclaim any obligation to update such forward-looking statements.  For additional information concerning factors that could affect our financial results or cause actual results to differ materially from our forward-looking statements, please refer to our filings with the SEC, including the risk factors section of our Form 10-K filed with the SEC. In addition, please note that on today's call and in our earnings release, we refer to certain non-GAAP financial measures. While the company believes these non-GAAP financial measures provide useful information for investors, the presentation of this information is not intended to be considered in isolation or as a substitute for the financial information presented in accordance with GAAP.  Reconciliations between GAAP and non-GAAP metrics for our reported results can be found in the earnings press release issued today, a copy of which can be found on our website.  Now I'll turn the call over to WOW!'s Chief Executive Officer, Teresa Elder.
Teresa Elder: Thanks, Andrew. Welcome to WOW!'s first quarter earnings call. In addition to our press release and quarterly trending schedules that are available on our Investor Relations page, we have also included a presentation that we are using to complement our prepared remarks. This was another great quarter for WOW! as the momentum we built throughout last year continued into the first quarter. Our broadband-first strategy drove our results again this quarter, pushing our high-speed data revenue to its sixth consecutive record quarter as we added 10,000 HSD subscribers. In the first quarter, our total revenue increased 1% from the same period last year to $286 million, driven by growth in our high-speed data business, which grew 12% year-over-year to $153 million, more than offsetting a decline in video and telephony revenue during the quarter.  Our first quarter adjusted EBITDA was $112 million, up more than 13% from the same period last year. 2020 was a monumental year for our industry in so many ways. Broadband utilization increased across practically every facet of our lives; from streaming video content to supporting education via remote learning and the significant number of people who now work remotely, high-speed data services delivered over a high-quality network, continued to be an extremely important aspect of our daily lives.  In 2021, the reliance on high-speed data has not abated, which further underpins our broadband-first strategy and our strong results this quarter. While we are very focused on growing our high-speed data business, we continue to work with our customers to ensure that they have excellent video options to choose from, whether it's using WOW! tv+, our IP-based video offering or signing up with streaming alternatives. We remain aggressively focused on driving our total subscriber numbers higher.  In fact, for the 7th consecutive quarter, we increased our total number of subscribers as we have every quarter since launching our broadband-first strategy in early 2020. During the first quarter, we added 10,000 high-speed data RGUs, bringing our total to nearly 824,000. Consistent with the past 2 quarters, 86% over the vast majority of our new customers are buying our high-speed data only service, a significant increase from the same period last year when 66% of new subscribers purchased our high-speed data service.  In the first quarter of 2021, 88% of new customers purchased speeds of 200 meg or higher, which is up slightly from last quarter and substantially higher than Q1 last year, when 51% of our new customers purchased 200 meg speeds or higher. HSD ARPU increased slightly from last quarter and remains significantly higher than the same period last year, largely reflecting customers purchasing higher speeds. In the first quarter of this year, HSD ARPU was $62.10, up from $57.70 in the same period last year.  Our Edge-Out strategy continues to deliver growth in terms of both homes passed and RGUs and is showing positive results with increasing penetration rates. Both the 2019 and 2020 Edge-Out vintages increased again this quarter, with the 2019 vintages increasing to 17.3% penetration, up from 16.3% last quarter. And the 2020 vintages increased to 17.7% penetration, up from 11.5% last quarter. Although the lingering effects of the pandemic are still limiting the full potential, we expect to see some incremental acceleration of Edge-Out in the back half of this year. In the early stages of last year, we announced our broadband-first strategy and outlined our focus on high-speed data products and services, which enabled us to respond to customers' needs while still playing to our strengths, which clearly includes the quality of our network. This is one of the key reasons we feel confident about our ability to continue to execute this strategy. During the past few years, we've made strategic investments in all 19 of our markets to bolster our advanced fiber-rich network, including standardizing and simplifying it through the deployment of DOCSIS 3.1, which is now fully implemented across nearly all of WOW!'s footprint.  These actions have enabled us to support IP-based products like WOW! tv+ or alternative video options, including streaming services that ensured the network continues to deliver flexibility and the higher speeds consumers increasingly demand. The quality of our infrastructure has also been a key reason that we've been able to quickly respond to challenges. Last year, during the pandemic, we experienced a peak increase of more than double our normal volume of broadband traffic; due in large part to the network investments that we've made, the network successfully adapted to the significant growth in usage.  Earlier this year, we experienced an EF4 tornado in Newnan, Georgia. And within 7 days, more than 90% of our affected customers had service fully restored. This not only reflects the quality of our infrastructure, but also WOW!'s commitment to our customers as employees worked tirelessly to get everybody back up and running. WOW! has always been recognized as a leader in providing value and accessibility in the products and services we provide. We're excited about the numerous federal programs being introduced and the opportunity they give us to connect and bring the value of WOW! to more homes. These programs are being established to ensure that the infrastructure exists to promote affordability and accessibility of broadband. Last year, we introduced a number of products and initiatives, including Fiber Flex for small and midsized business, WOW! Internet Select 50 plans for low-income home consoles. And we participated in the Keep America Connected Pledge. We continue to be part of the ACA Connects and Education super highways K-12 Bridge to Broadband program for states and school districts, a program designed to provide Internet access for students in low-income households. We now also offer the WOW! Internet for Education Program where families who qualify will be eligible to receive WOW!'s Internet Select 50 plans. In addition to these WOW! specific products, we joined the FCC's Emergency Broadband Benefit program to support communities and households across the country that are struggling to afford Internet service during the pandemic.  The EBB program will allow eligible households to remain connected to services and resources they need for critical access to their job, health care information and remote learning. Those participating in the FCC's EBB program can receive discounts toward their monthly broadband services as well as discounts on necessary equipment, such as laptops, desktop computers or tablets. These initiatives and our participation in the federal programs reflect WOW!'s larger mission to work to eliminate the broadband inequities that may continue to impact many communities even in a post-pandemic world. To conclude, these were solid results, and I'm really pleased with the momentum that has carried over from last year into the first half of this year. Demand for broadband remains high, and we believe that WOW! is extremely well positioned with the right people and the right strategy to continue capturing this exciting opportunity. Now I'll turn the call over to John, who will go over our financial results in more detail.
John Rego: Thanks, Teresa. Our first quarter delivered strong results that exceeded our expectations and reinforced the strength of our team and our broadband-first strategy. In the first quarter, total revenue increased 1% to $286.3 million, reflecting a 12% increase in high-speed data revenue, partially offset by declines in video and telephony, which decreased 10% and 11%, respectively. The growth in high-speed data revenue predominantly reflects the addition of new customers as well as existing customers buying higher-speed tiers. The outperformance in our high-speed data business contributed to our higher EBITDA in the first quarter, which increased more than 13% from the same period last year to $112.4 million with an adjusted EBITDA margin of 39.3%, also a significant improvement from the same period last year.  As you can see on this next slide, our incremental contribution margin saw a slight decline sequentially but continues to be significantly higher than the same period last year, consistent with the improvements we are seeing in our adjusted EBITDA and EBITDA margin. In the first quarter, the incremental contribution margin was 67.2%, up from 63.6% in the same period last year. In the first quarter, our CapEx increased by $1.3 million from the same period last year, predominantly due to timing issues as a couple of items were pulled forward late in the quarter. We continue to expect our full year CapEx to be consistent with or slightly lower than last year. Our total free cash flow increased by $23.9 million from a year ago to $18.3 million. And with regards to liquidity and leverage, we had $36.1 million of cash on hand, and we've lowered our leverage ratio to 5x. Finally, before we open the call for questions, I would like to talk about guidance. Last quarter, we reintroduced guidance for the quarter and held back on providing expectations for the full year. Although there still remains a degree of uncertainty regarding the pandemic, we are getting more visibility into the year and wanted to provide guidance for both the upcoming quarter and the full year. For the second quarter, we expect total revenue to be between $280 million and $283 million, high-speed data revenue to be between $154 million and $157 million and adjusted EBITDA to be between $110 million and $113 million. We also expect net additions to be between 3,500 and 5,500 in the quarter. For the full year, we expect total revenue to be between $1.118 billion to $1.121 billion; high-speed data revenue to be between $629 million and $632 million and adjusted EBITDA to be between $458 million and $462 million. We also expect high-speed data net additions to be between 28,000 to 32,000. This was another strong quarter for WOW!. We are executing on our broadband-first strategy, we're building on our momentum, and we're delivering strong results.  And now we'd like to open the call for some questions.
Operator: [Operator Instructions] First question comes from the line of Tim Nollen with Macquarie.
Tim Nollen: A couple of things. I guess, first, just to double check the trends going into Q2, looking at the guidance of the HSD net adds. If I'm looking at this right, it looks like a bit of a slowdown in the year-over-year growth rate and yet it looks like pretty decent revenue growth implying now the ARPU is going to be still strong. And both of those, I'm guessing are just comps versus what was a very unusual quarter last year. If you could just confirm that I'm looking at that the right way? And then the second half maybe is a bit more of a straight line.
John Rego: Yes. I'll start it if you'd like, Teresa, excuse me. Yes, a lot of folks think 2019 is the better comp for 2021. 2020 was pretty unusual and be that as it may. We're seeing a bit of that, but our expectations for the balance of the year are pretty strong. I think we're expecting a little bit of return to normalcy. And historically, in these types of businesses, Q3 is usually a very powerful quarter. That's when people move their homes and kids go back to school, et cetera, et cetera. So that's part of it. The ARPU, we still expect that -- or anticipate that the ARPUs will continue to increase. We're still seeing a lot of folks tiering up to higher speed. We see people taking a whole home WiFi solution, and there are going to be ancillary products that will be sold on to the WiFi customers as well. So I think we have paths to get there. So I'll stop with that. I think Teresa wants to jump in.
Teresa Elder: Yes. I think that's right. It's hard to know, but we think maybe this year, we'll have more of a return to normal seasonality, especially as we get into Q3 with back-to-school. And we also know that it was really in 2020 that we also did our pivot to broadband first. So we are thinking that 2019 is an interesting comp, but we have aspirations to do better than 2019, certainly. And we believe with all the vaccinations, the economy is starting to open up, which will certainly help. And we also don't know yet quite what to expect from some of the programs like the Emergency Broadband Benefit program. It could be that it just helps churn. It could be some net additions, but we're not quite sure on that. But all of those, we think, are some good trends for the future.
Tim Nollen: Now a lot of unusual factors in Q2 last year, obviously. Can I ask another question, please, on video. You mentioned your WOW! tv+ is now in 95% of your footprint. Could you talk a little bit about what the actual take-up of that is, the shift from linear to that? And also comparing that versus any other streaming alternatives that you mentioned, not a WOW! tv+, but people just taking another video service.
Teresa Elder: Yes. So what we're seeing overall is especially a new customer acquisition, as we stated, the vast majority of our customers who are coming in are HSD only as well as HSD only with some kind of a streaming service. So in terms of the new customer take-up, it's small, but it is an alternative for customers who like that curated video product, and we're happy to provide it. It provides functionality like our traditional services haven't before. We're now launched on things like mobile tablets and devices. So it really provides a robust experience for our customers. We're really just now starting to kind of reactively when customers want to upgrade as our existing base, move them to the IPTV or WOW! tv+ service. And we'll continue to do that more as time goes on in transitioning customers over. But we've been very pleased so far. I don't think we give out actual numbers on the uptake. I think we continue to see overall curated video as a product declining as a business. But for those customers that still take it, we always want to provide high-quality service and we are.
Operator: Your next question comes from the line of James Ratcliffe with Evercore ISI.
James Ratcliffe: A couple if I could. First of all, on the EBBP and similar programs, can you give us an idea like how large the potential population for upselling on your existing customer base are, customers you believe are qualified for these subsidies? And secondly, a lot of discussion around broadband infrastructure spending and the like. And I'm curious what your views are on the cost and ability to increase your upstream speed because depending on how broadband is defined for these programs, clearly, you've got no problem with the downstream. But if the federal government does decide let's say 100/100 is -- qualifies as broadband, then you need to expand your upstream and what the costs and opportunities there are.
Teresa Elder: Thanks, James. I'll start out with the first one. On the EBB program, you probably know it hasn't launched yet, so it's really hard for us to know. We have been approved and qualified. We're ready to go when it launches, which I believe is set now for May 12 next week. So we'll know more once we get our toes in the water and see what's happening there. In terms of upselling from some of our existing plans that we have that are for more challenged income families, we have seen some upsell opportunities as customers realize that the additional speeds can help them work and learn from home more, and we have seen people upgrading. And I think once this subsidy program is in place and they have the roughly $50 a month for those kinds of services, I think people will take advantage of that, which is what the program was intended to do.  So once again, we're starting to see a little bit of that, but we will really know more after some of these programs actually launch. In terms of infrastructure spending and speeds, I can tell you right now that customers are very happy with the speeds that we have. We have our 1 gig offering as well as a 500 meg offering and 200 mg, and that really does accommodate customers' needs. As we look at a residential customer, most of the bandwidth usage they have is in download. And so the upload speeds that we currently have are more than adequate for customers' needs, whether they're gaming or video conferencing, remote learning or video streaming. We do have the DOCSIS 3.1 that is now deployed in virtually all of our footprint. And I believe the DOCSIS platform really is a terrific platform, which will allow us to continue to grow over time, should customers need those kinds of symmetrical speeds or higher speeds for upload. And we have the ability to easily transition to do that without having to tear up streets and build a whole new network. So we feel very good about our technology path and our engineers are continuing to work on that gap. And that's why we've been able to respond to our customers' needs so well with the dramatic rise in bandwidth advance throughout the pandemic.
Operator: And your next question comes from the line of Kutgun Maral with RBC Capital Markets.
Kutgun Maral: If I could, I'd like to ask about broadband subscribers again and maybe M&A. First, I know you just talked about this, but I was hoping you could provide more color on the broadband subscriber outlook. And what's really embedded in the 2021 guidance, especially as you think about the back half. You did mention some expectations for return to normal seasonality, I think, starting in Q3. I guess as the country continues to reopen, there's a sense out there that market churn may start to pick up, that might be offset by more gross ad opportunities. But maybe the question is, would you expect that as there are more selling opportunities in the marketplace that might drive up competitive intensity? And how do you expect to react to that?
Teresa Elder: Yes. We have continued to see our churn numbers, be at historic record lows. So we have had record low churn for quite some time now, and it has stayed at those levels, and we're thrilled that our customers are loyal and are delighted with our services. So I think in terms of the market competitiveness in some ways, when there is, I think, less market activity, there is more competitiveness as customers -- or competitors are scrambling for net adds. So as the market opens up, I don't know what will happen. It's hard to predict what people will do. In terms of switchers, WOW! has always been very successful at getting customers who are switchers. And by that, I mean maybe people who aren't moving, but are looking at the need for more reliable services, a better value and WOW! tends to do extremely well in those situations. With the customers moving more and as we get to the summer, more customers move and we're starting to see a little bit of a pick up in that. Our markets are very attractive markets for people to move to, especially as people are looking at lower-cost places to more permanently work from home. So we're looking forward to both of those trends.
Kutgun Maral: And just if I could, is there any update you could provide on what you're seeing from an M&A perspective? I know the focus right now is running the business, but are there any developments you can or would like to share?
Teresa Elder: Well, of course, we don't comment on any kind of rumors or anything like that. But I think we've always been transparent in the fact that we like some of the valuations that we've seen on some companies that are very similar to us in the marketplace. We've talked before about the Astound transaction back last year or even the Hargray transaction more recently this year. In any case you know as we talked about this, I think, on every quarter, we're always focused on lowering our leverage ratio, and we're open to inorganic ways to do that as well just as we have been over the last 20 years buying and selling markets in our business. But I did want to note that we're very close to achieving a leverage ratio organically through our adjusted EBITDA growth of less than 5x. So we're excited to get close to that milestone.
Operator: Your next question comes from the line of Batya Levi with UBS.
Batya Levi: Can you talk a little bit about the competitive environment in high-speed data? And if you're seeing any change in fiber builds in your footprint? And a question on Edge-Out. It looks like the 2020 cohort actually started to do better than the '19 cohorts. Is there anything to highlight there? And what's your expectation for Edge-Out builds this year?
Teresa Elder: Thanks, Batya. And let's see, in terms of the competitiveness in HSD, I think the kinds of services we offer, especially on the consumer side, are always quite competitive. And that's sort of the DNA of WOW!. We have been a challenger brand since the day that we were established and so we are always going to compete. And we compete on many different aspects, not just pricing, but really the speed and reliability of our network, providing an alternative or a choice to some of the larger brands. We've really worked hard on doing more to make sure we are easy to do business with. And of course, for 20 years, we've had a real legacy of being customer-centric. So those things are still working very well for us. I think in the environment now, where people are still, to some degree, struggling with budgets in some markets that there is some pressure on promotions, and we participate strategically on a by-market basis where we need to, to make sure that we're continuing to get our share, and that's worked well. But as you can see, we also are agile about making sure customers are matched with the right speed for them, and that often is helping us drive enhanced ARPU growth. In terms of the fiber builds, I think it's still very much the way that we talked about it last quarter.  And we do have some overlap -- quite a bit of overlap with AT&T, for example, and most of that, by far, the vast majority is with their DSL service. And of course, we already have our advanced fiber-rich network that can deliver 1 gig speeds. And so we're very competitive on that. At the end of the day, I think customers don't come to us asking for a certain technology. What they want is a service that meets their needs. And they trust us to deliver it with a competitive price with a service that is reliable that has the array of offerings, not just broadband, but also services like our whole home WiFi mesh network product, which customers just love that really gives them also a great WiFi experience in their homes. So taken together with things we do like even same-day installs, those are, I think, for the things that really help us be competitive and delight our customers. I think the third area you talked about was Edge-Out. And yes, we're pleased with our Edge-Out production in terms of the deeper penetration, which is what we wanted to do this year. That was our strategy. We've built about 200,000 homes passed over the last many years, and we want to deepen the penetration in those Edge-Outs, and we've had some good success, especially as the weather gets better, as people are out and about more, and I'm thrilled with some of the growth that we've seen. And I think the growth of the 2019 versus the 2020 Edge-Out could be just a little bit where the weather is better, where people are moving. But we're pleased and all of the Edge-Out vintages that we've had are reaching those kind of business case metrics that we had hoped to have. So we're pleased with production.
John Rego: And Batya, I would say on the Edge-Out looking at vintages, remember, in 2020, we pulled back construction quite a bit when the pandemic hit. And it was like our lowest CapEx for Edge-Outs in like a really long time, and we've changed the focus to penetrating more. So you're just hitting a higher number on a smaller base for the 2020 [indiscernible] think that's part of it. But again, as we said last year, when it hit and again, applies to 2021, where we're still going to not go back to historic Edge-Out CapEx. The focus right now is penetrating and putting customers on the platform.
Operator: Your next question comes from the line of Frank Louthan with Raymond James.
Frank Louthan: Do you have an estimate for how many folks in your territory might be impacted by the EBBP plan? That would be the first question. And the second question, can you walk us through the bad debt reserves you took last year during the pandemic and how you've been releasing those and what changes you might have made in the last 12 months on bad debt when we get to more of a normalized level back?
Teresa Elder: Okay. I want to make take the first one, and John can take the second. So in terms of the EBB percentage, we've done some estimates, and we do think that there could be especially a lot of prospects. So noncustomers today who could be eligible within our footprint for the EBB program. So we're looking forward to being able to serve those customers with something that will meet their budgets. But we think it could be a significant number. But like I said, it doesn't start until next week, so we really don't know exactly what the uptick will be or if this is -- we're going to certainly promote the program and make sure people know that they could be eligible. And so we've got a plan around that as well. But I think we'll know a lot more next quarter after we have a little bit of experience with the number as well.
John Rego: Okay. And on the bad debt question, Frank. Yes, quite frankly, in Q1 of '20, we beefed up the bad debt reserve in anticipation of not only what was going to happen. I think our experience was better than we thought it was going to be. We had a -- we did have bad debt. We were part of the pledge, et cetera, et cetera. But I think overall, we did better than we thought we were going to be. I think we're down to; in 2021, more historic levels. So to put some dollars around it for you, I think we stepped up the reserves by a couple of million dollars. Okay. And used some of it, not all of it.
Frank Louthan: And then just a clarification on EBBP. So you're all going to market that. Do you expect this to be something that exists more? Where do you think the majority of this will go within your customer base? Will the existing customers that are eligible start to take it? Or is this going to be a net new additions? And then how do you -- how does a customer qualify? Do they have to -- do they just tell you they're eligible? Or do they have to -- they have to pull something from the FCC. Can you walk us through sort of what the challenges are for the customers to actually to get the voucher or whatever you call it.
Teresa Elder: Yes. To this point, it is a fairly rigorous program that has been set up by the federal government, and we're just now implementing all the kind of rules that are in place and training our representatives to handle that. So a customer calls in and they do have to meet -- there's a whole list of criteria, and I believe it's even on the FCC's website about the EBB program and how customers have to qualify. There's a number of different things, whether it's income or if they qualify for maybe some of the food programs, so there a variety of ways to qualify. But then a customer calls into us, and we have to work with them to get into this federal database to have them validated by the government. So it's not something we can just take their word for or we can independently say that they qualify. It's through this federal database, similar to some of the lifeline surfaces on the telephone side we've become familiar with. So it's a pretty rigorous process to go through all that. And lastly, I think just by definition, probably there are more customers who don't have broadband today than those who do that qualify because the whole idea is to try to make sure more customers can have access to broadband.  We certainly think there could be some of our existing customers that also qualify. And for those, we will certainly help them get that subsidy. So it can take some of the weight off of their budgets and maybe even allow them to get to a higher speed that better meets their needs. Does that help, Frank?
Frank Louthan: Yes. No, that's great.
Operator: Your next question comes from the line of Brandon Nispel with KeyBanc Capital Markets.
Brandon Nispel: I think 1 for Teresa and 2 for John. Teresa, the selling mix on HSD is pretty strong. Can you update us on where the base stands? Then for John, could you provide an update in terms of guidance for the year in CapEx, cash taxes, cash interest expense? And then just given the focus on the federal subsidies program, is there any expectation built in guidance for net subscriber additions from the subsidy programs?
Teresa Elder: Okay. I'll take the first one. Thanks. So on the -- we do have a trending schedule that we have put out as well. So in there, we can say for the first quarter of this year, we're sitting at about 824,000 high-speed data customers. And of those, 291,000 have video. So we virtually don't have any customers that take videos who don't also have high-speed data. And then we have 173,000 telephony customers. So that's our current mix.
Brandon Nispel: [indiscernible] I think it was more along the lines of penetration of speeds within the base of the 100 megs, 200 megs of the different product sets.
Teresa Elder: Okay. And I believe we put out on the web slides some mix on that, that shares that. I think we just kind of say 200 meg and above. But I believe we shared exactly what the mix is for 1 gig and 500 [ meg ]. But I can tell you that continues to grow and grow as customers' applications really lend themselves to higher speeds. So we're currently sitting with the mix of -- I guess, we put out the sell-in for the mix of new acquisitions, and we showed that as 88%. It's certainly a little lower than that for the existing base as customers upgrade, but we're seeing similar trends where customers are upgrading faster and faster. And of course, we also in December of last year, upgraded our minimum speeds to 100 meg across the board.
John Rego: Okay. Shall I jump in on the finance questions?
Teresa Elder: Yes, sure, go ahead.
John Rego: All right. So Brandon on our forecasting models that we build when we gave the guidance, there's nothing specifically built in that's going to assume we're getting some generous HSD that's because of programs like EBB. I would venture to say in my upside pace, I might have done that, but not the baseline case. So the reality is -- but we're suggesting is just more HSD, more tiering up and hopefully, a return to normalcy where Q3 again becomes like the killer quarter for this type of business. Cash taxes are de minimis. I mean we still have $900 million of net operating costs. So I don't expect that we'll be paying significant taxes anytime soon. On the interest expense, more interesting question. This is -- I have been waiting for this month since I got here. So on May 31st, the hedge turns out. The interest rate hedge, which fixed LIBOR at 2.76% on $1.3 billion of notional value goes away. That's an annual cash interest savings of $23 million, of which for this year, we will get $13. 5 million. So we won't be paying the hedge starting on June 1. So that will be rather accretive to our free cash flow for sure. So I hope that answers it.
Brandon Nispel: And CapEx.
John Rego: Yes. So CapEx, our guide was flat to slightly down from last year. We did pull some stuff into Q1 from Q2, particularly CPE, a little bit of CPE purchases that we were doing and some of the infrastructure build that we're doing, but my expectation is flat to down, like we said in the last call.
Operator: There are no further questions in the queue. I would now like to turn the conference over to Teresa Elder for closing remarks.
Teresa Elder: Thanks so much for joining us this morning. I thank you for your continued interest and support of WOW!. We really look forward to speaking with many of you in the coming weeks. So have a great day.
Operator: This does conclude today's conference call. Thank you for your participation. You may now disconnect your lines.